Operator: Good day, ladies and gentlemen. And welcome to your Capstone Green Energy Earnings Conference Call and Webcast for the Financial Results for the Third Quarter Fiscal Year 2022 ended on December 31, 2021. All lines have been placed in a listen-only mode, and there will be a question-and-session following the presentation. As a reminder, today's program will be recorded. At this time, it's my pleasure to turn the floor over to, Mr. Colby Petersen, Corporate Counsel. Sir, the floor is yours.
Colby Petersen: Thank you very much. Good afternoon and thank you for joining today's fiscal 2022 third quarter conference call. On the call with me today is Darren Jamison, Capstone Green Energy's President and Chief Executive Officer; and Eric Hencken, Chief Financial Officer. Today, Capstone Green Energy issued its earnings release and filed its quarterly 10-Q report with the Securities and Exchange Commission for its fiscal 2022 third quarter ended December 31, 2021. During the call today, we will be referring to slides that can be found on our website under the Investor Relations section. I want to remind everyone that this conference call contains estimates and forward-looking statements that represent the company's views as of today, February 10, 2022. Capstone disclaims any obligations to update or revise these statements to reflect the future events or circumstances. You should not place undue reliance on these forward-looking statements because they involve known and unknown risks, uncertainties and other factors that are, in some cases, beyond our control. Please refer to the Safe Harbor Provisions set forth on Slide 2 in today's earnings release and in Capstone’s filings with the Securities and Exchange Commission for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. Please note that as Darren and Eric go through the discussion today, when they mention EBITDA, they are referring to adjusted EBITDA and the reconciliations in the earnings release and the appendix to the presentation slides. I would now like to turn the call over to Darren Jamison, President and Chief Executive Officer.
Darren Jamison: Thank you, Colby. Good afternoon everyone and thank you for joining today for review of our third quarter fiscal 2021 results ending December 31, 2021. If you turn to Slide 4, I wanted to remind everyone of our fiscal 2022 goals and then give an update on our progress through our third quarter. Our strategic initiatives are built around driving growth and reaching profitability. As you know, we have been focused on increasing our reoccurring revenue as part of our Energy-as-a-Service, or EaaS strategy. In particular, we have highlighted our rental growth because of its high contribution margins. Achieving our goals here translates into better margins, improving our cash flow and also the predictability of that cash flow. Our fiscal 2022 goals include the following. First is broadening our diverse energy products and service offerings. I'll reinforce what we've been doing here on an upcoming slide. Second is our new direct solution sales team, which is focused on growing top-line revenue. And I'm happy to announce that we received orders for our first non-microturbine energy generation technologies for both Solar PV and battery energy storage solutions during the quarter. As discussed last quarter, we are continuing to invest in our Direct Solutions Sales team, because we see that as growth driver for our business. The Direct Solutions Sales team continues to show a growing pipeline of traditional microturbine driven products, long-term rentals and newer green energy product offerings like solar and battery storage. Third is expanding our long-term rental fleet to 21 megawatts. We announced today that we grew the fleet to 17.7 megawatts during the third quarter, which was slightly ahead of our expectations and was up from 13.1 megawatts at the end of the second quarter. In January, we announced our largest rental contract to date of 4 megawatts order with a two year contract where the end use customer is a cryptocurrency minor. We fully expect to reach our 21 megawatt goal by March 31, 2022. This high margin reoccurring revenue is expected to be significant contributor to our EBITDA in fiscal 2023 and we'll discuss this on a slide later in the presentation. Fourth goal is increasing our aftermarket margins and escalating parts availability to drive customer satisfaction and repeat orders. During the quarter ended March 31, 2021, we set up a reserve of 4.9 million to replace affected spare parts by one of our suppliers that had a defect. As expected this program was completed successfully during the third quarter and we continue to see significantly reduced failure rates on our powerheads, which has lowered warranty expense and should drive repeat orders. Next is focusing on managing working capital and inventory turns. In the third quarter, we generated cash from working capital primarily due to an increase in collections of accounts receivable by maintaining very tight management over inventory controls and payables. For the year-to-date period, cash used in operating activities and specifically for working capital and inventory, it has been somewhat heavier than expected partially due to the ramping up in parts to build the rental fleet and also to ensure we can continue to manufacture product in this extremely challenging COVID-19 supply chain environment. Collections have also been slower than expected due to extended cash cycles with our distributors primarily resulting from COVID-19 related pandemic impacts, but we are encouraged by the collections we had from our distributors in the third quarter. Now let's turn to Slide 5. There is no doubt that the world is moving toward decarbonization and greener energy solutions. And that's why we transformed into Capstone Green Energy Corporation. This slide highlights the types of solutions we can now provide to address end customers' needs as the world moves towards these greener solutions. First, we can provide complete microgrid solution that can run standalone or connected to the grid. In addition to our traditional microturbine, we're now offering solar and battery storage solutions in partnership with our network partners. Combining these products with our Capstone microturbine technology can create a complete custom tailored on and off-grid microgrid solution. In January, we announced a new partnership with Global RAIS Energy and Storage Solutions for the supply of modular low voltage DC to DC solar voltaic kits for using Capstone's commercial and industrial or CNI focused microgrid solutions. This is another great example of how we are leveraging strategic partnerships to increase our total addressable market, or TAM. We continue to develop our offerings in the hydrogen space. We still expect to offer 30% hydrogen, 70% natural gas blend to commercial microturbine system by March 31, 2022. Currently our microturbine based systems can commercially run on 10% hydrogen, 90% natural gas blend. As previously stated, we intend to spend money on development towards a 100% hydrogen as the market dictates. We want our products, we offer to be fuel flexible and not just meet the needs of where the market is today, but where we'll be in the future when it comes to decarbonization solutions. We also offer solutions that help commercial industrial customers with efficiency and resiliency, saving their money and providing energy security, whether it's with a combined heat and power solution of our C65, all the way up to multiple megawatt micro turbine systems or our Baker Hughes 5 megawatt to 16 megawatt large scale turbines or our custom heat recovery solutions through Alfa Laval or food waste management or recycling solutions through Waste2ES. Now let's turn our attention to Slide 6, on Earth Day 2021, we expanded our portfolio products and services and transformed from Capstone Turbine Corporation to Capstone Green Energy. We now view our business as four key strategic business lines. This is important because it goes hand-in-hand with our strategic goal of growing our offerings to expand our revenue opportunity with each end-use customer and meaningfully accelerate, top line growth and recurring revenue. Let's begin with Energy as a Service or EaaS. This line is built on the base of recurring revenue and includes long-term rental contracts, long-term service contracts or FPP, installation services, service, spare parts, leasing, TPAs, project financing, and last but not least our DSS distributors subscription fees. The common elements on all these business lines are steadier cash flows, predictability, higher margin rates, and all of them are critical to continuing our transition to a more predictable cash flow and higher margin business. Next is Energy Generation Technologies or EGT, this is the foundation on which Capstone was built and is based on Capstone's core micro turbine technology. They're all familiar with. We can operate on a wide range of fuels from natural gas to biogas, to blended hydrogen. These products produce high efficiency, CHP or CCHP generating electricity and multiple forms of thermal energy. The EGT line includes our small hybrid DC micro grid product and our larger Baker Hughes industrial turbine solution for both CHP and CCHP applications. Moving on to the Energy Storage Solutions or ESS line. As mentioned earlier in January, we entered into an agreement with Global RAIS to provide solar modules and also agreements in place for energy storage, which are both essential additions to micro grid. We'll be using a custom tailored combination of multiple technologies, energy storage, and monitoring software that maximize energy efficiencies, lower emissions, and create resilient systems that meets customer specific requirements and energy needs. Next is Hydrogen & Sustainable Products business line or H2S. Fuel flexibility has always been critical to Capstone. And so hydrogen is the next big fuel source we need to address. Our new hydrogen solution business line is leveraging the recently released second commercially available, hydrogen-based combined heat and power micro turbine, which can safely run on the said 10% hydrogen, 90% natural gas mix. Now let's turn our attention to the most recent quarterly results. Let's go ahead and turn over to Slide 8. I'll give you a quick overview of our third quarter financial highlights and we'll focus on top line revenue here and let Eric provide a complete financial overview in just a minute. Total revenue for the quarter was $20.6 million, which was essentially flat compared to $20.7 million in the third quarter last year. We are happy with this result as there was an unusually large 4 megawatt order in the prior year quarter. And without that order, we are still showing overall solid growth over the prior quarter. The long-term micro rental fleets, as I said increased 4.6 megawatts to 17.7. megawatts up from 13.1 megawatts during the quarter, as the company continues to execute against its plan to increase the micro turbine rental fleet to 21.1 megawatts by the end of our fiscal year, which is coming up here in March 31st, 2022. The book-to-bill ratio was 0.5:1 for the quarter. And new gross product orders was $5.8 million, down from $10.8 million in the second quarter. Orders were down partially due to the timing of some expected orders in December that were delayed due to COVID-19 Omicron variant. If we turn to Slide 9, we had similar slide last quarter that shows the last four quarters of revenue, but updated it for the current quarter because it still highlights our revenue growth trends. I'll point out two things on this slide. First that each quarter of fiscal 2022 has been better sequentially improving. The third quarter was flat year-over-year. However, as mentioned, there's an unusual large 4 megawatt shipment in the prior year third quarter. Second, if you look at our last 12 months of revenue, we are still showing strong growth being up 17% compared to the same period, the previous year. I'll now turn the call over to Eric to discuss the details of our financial results for the most recent quarter.
Eric Hencken: Thanks Darren. I'll now review in more detail, our financial results for the third quarter of fiscal 2022. Turning to Slide 11, you'll see the financial results for the third quarter of fiscal 2022, which had revenue at $20.6 million compared to $20.7 million in the third quarter of fiscal 2021. Products and accessories revenue was $12.3 million down 4% from $12.8 million in the third quarter of fiscal 2021. Parts and service revenue, which includes our FPP long-term service contracts, rentals and distributor support subscription fee was $8.3 million up 5% from $7.9 million in the third quarter of fiscal 2021, primarily due to an increase in rental revenue. Gross margin as a percentage of revenue was 11%, down from 17% in the year ago period, primarily due to overhead expenses being lower in the prior year, due to our COVID-19 business continuity plan, where we implemented cost savings measures such as furloughs, pay cuts and travel restrictions among other things. While most cost saving measures were removed as of September 28, 2020 cost savings were still maintained during the third quarter of the prior year. Additionally, we have started to see cost pressures on our component parts as well as from the supply chain, including freight costs. Total operating expenses increased $0.5 million to $6.1 million from $5.6 million in the year ago period. Selling costs were higher by $0.3 million as we continue to build the direct solution sales team. And we had a bad debt recovery of $0.2 million in the prior year quarter. Net loss was $5.1 million for the quarter compared to a net loss of $7.6 million in the third quarter of fiscal 2021. Adjusted EBITDA was negative $3 million, compared to adjusted EBITDA of negative $1.3 million in the third quarter of fiscal 2021. Again, the third quarter of fiscal 2021 benefited from the COVID-19 Business Continuity Plan expense reductions. Turning to Slide 12. We’ll see the financial results for the nine months ended December 31, 2021, which had revenue at $53.9 million, up 8% compared to $49.8 million in the first nine months of fiscal 2021 as the prior year period was more heavily impacted by COVID-19 project delays. Product and accessories revenue was $29.2 million, up 10% from $26.6 million in the first nine months of fiscal 2021. While parts and service revenue was $24.7 million, up 6% from $23.2 million in the first nine months of fiscal 2021. Gross margin as a percentage of revenue was 14%, down from 19% in the year ago period, primarily due to lower expenses in the prior year due to our COVID-19 Business Continuity Plan. Total operating expenses increased $4.8 million to $19.7 million from $14.9 million in the year ago period. Again, costs were lower in the prior year due to our COVID-19 Business Continuity Plan. Additionally, we had a $0.8 million employment related legal settlement in the second quarter of fiscal 2022. Net loss was $13.3 million for the nine months ended December 31, 2021, compared to a net loss of $13.6 million in the prior area period. The decrease in net loss was primarily due to a $4.3 million loss on debt extinguishment related to the refinancing of our term note in the prior year and $2.6 million of income related to the forgiveness of our PPP loan this year, partially offset by the increase in expenses just discussed. Adjusted EBITDA was negative $8.1 million, compared to adjusted EBITDA of negative $3.1 million in the prior year. The prior period benefited from expense reductions from the COVID-19 Business Continuity Plan, which was partially offset by higher revenue. Turning to Slide 13. We will see select balance sheet and cash flow items. Cash decreased $7 million to $31.3 million compared to $38.3 million at September 30, 2021. Cash used in operating activities was $3.6 million for the quarter. The cash use was primarily driven by our net loss, which was partially offset by cash generated from working capital changes, driven by an increase in accounts receivable collections and continued management of both inventory and accounts payable. On Slide 14, we want to continue to highlight the impact of the rental fleet. This slide shows both revenue and margin over a five-year period for a C1000 product sale with spare part sales, a C1000 product sale with an FPP contract and a C1000 rental. Over that five-year period, C1000 product sale with spare parts can generate approximately $1 million of revenue with approximately $200,000 in margin with a 20% margin as a percentage of revenue. The C1000 product sale with an FPP contract can generate approximately $1.2 million of revenue with approximately $300,000 in margin with a 25% margin as a percentage of revenue. The C1000 rental can generate approximately $1.8 million of revenue, and approximately $1.1 million of margin with a 60% margin as a percentage of revenue. We think the number speak for themselves here to illustrate why we’ve been building our rental fleet. And why it is one of our key strategic goals for the year. On Slide 15, we wanted to show the impact of growing the rental fleet to 21.1 megawatts, which we expect to do by March 31, 2022. While we have continued to sign rental contracts because of the timing of shipments, commissioning, payments and revenue recognition, we have not yet seen a quarter with a full 21 megawatts of rental revenue. This slide highlights our actual last 12 months of rental revenue and margins. We created an as if scenario where we assume we have a 21 megawatt rental fleet with a 90% utilization rate. As a reminder, we have publicly stated we expect to be at 21 megawatts by the end of our fiscal year, which is in two months, March 31, 2022. As you can see at 21 megawatts with a 90% utilization rate, the as if scenario is significantly higher than the last 12 months. We hope this chart helped illustrate the impact we expect the rental fleet to have on our future results. At this point, I’ll turn the call back to Darren. Darren?
Darren Jamison: Thank you, Eric. I think you can see from Eric’s presentation, the top line revenue growth and increased profitability from our energy as a service business model and recurring revenue is where our focus is. As we continue our transformation to Capstone Green Energy, we expect to realize higher growth levels and higher margin rates. Turn to Slide 17. Slide 17 summarizes how we think about the parts of our business and their potential growth rates. The first image highlights our traditional global distributor business that is relatively mature at this juncture. And we expect to grow at a lower rate than the other newer portions of our business. We expect our energy as a service or EaaS business to expand rather quickly, as we build out the long-term rental fleet. And as Eric pointed out what we are targeting as a key driver to sustained profitability and positive cash flows. Our new Capstone Direct Solutions sales team that is focused on large customer rollouts and our new expanded microgrid product offerings. We view as having high growth potential as well as most countries are similar to the U.S. and want to build back greener after the pandemic. Lastly, we view our strategic M&A initiatives as having high potential growth, and it could help us grow our portfolio of products and services and leverage our underutilized manufacturing facilities both here in the U.S. and in the UK. We are not just talking about M&A here. We’re open to strategic partnerships, joint ventures, and other related strategic opportunities. Turning to Slide 18. Slide 18 sets out some of the business catalysts I expect for Capstone Green Energy. I’ll not run through every line item on the page, but want to highlight some key points. First of all, when we transform to Capstone Green Energy and added the various new products discussed today in our portfolio, we significantly grew our total addressable market or our TAM. We essentially can talk to almost any customer worldwide and have a solution today. We are encouraged by the first solar and battery storage orders received in the quarter. We discussed the rental business in detail earlier, but once again, I want to stress the importance of the rental business and the rental business growth. We believe that because of their high margins and long-term nature, rentals are our fastest and most direct path to a consistent positive EBITDA. Giving the 21 megawatts is going to be a huge milestone for Capstone. Direct Solutions Sales team has generated a very nice pipeline of projects, and we’re excited to see some of those close in this last quarter of fiscal 2022. Lastly, we have discussed it on our prior calls, but I wanted to highlight again that we dedicated one of our senior executive team members strictly to strategic opportunities, obviously, including M&A. With that, I’d love to take any questions from our analysts. Operator, let’s open up the call.
Operator: Absolutely. Thank you. Ladies and gentlemen, the floor is open for questions.  And the first question is coming from Amit Dayal from H.C. Wainwright. Your line is live.
Amit Dayal: Thank you. Good afternoon, everyone. Darren, just  Darren. On the gross margin front I understand the year-over-year comps may not be as favorable because of the cost cuts that you undertook at that time, but sequentially were lower as well. Is there any other driver over here that is keeping margins lower and what outlook can you provide on this front in terms of a potential bounce back or any improvements going forward?
Darren Jamison: Yes, definitely. There some other drivers I’ll let Eric jump on this question, especially when it comes to outlooks.
Eric Hencken: Hi, Amit. I’ll – I won’t give an outlook, we don’t give guidance. But I will speak to some of the drivers that are making a decrease over the first and second quarter. So first is the cost pressures on parts I mentioned. So we did see costs rise in Q1 and Q2 but not materially like we did in Q3. Year-over-year, we also had some less discounting this year that kind of offset that. So with the contribution margin percentage from product actually is the same this quarter versus last quarter prior year. And then additionally, you see, we sell numerous parts and accessories and depending on which part and accessories they are on a given mix, they also could drive margin lower. So first cost pressures, second, mix, and then third is really freight costs and other supply chain related costs.
Darren Jamison: Yes, I guess I’d add Amit that definitely with COVID related supply chain issues, we are seeing some challenges. We are instituting a price increase on product and on our service contracts effective in May. This quarter was a little bit abnormal though, as Eric said. So I’d expect a rebound, but things could be choppy for a couple quarters on margin. But I think as we get into the next fiscal year, we should see things normalize and margins should increase quarter-over-quarter as we continue to ship rentals. As Eric pointed out, rentals are our fastest, most direct path to profitability, 60% margin, recurring revenue. So that is our number one focus. Number two focus obviously is a direct sales force as we want to continue to get larger projects and larger rollouts of big customers and drive that top line and start seeing additional revenue from the new product lines like we started to see last quarter. So, definitely I think a little bit of an anomaly on the margin this quarter, but I would caution it’s going to be a little bit choppy just because some of the supply chain challenges, which are real both freight and material costs have been very challenging in the last couple of quarters.
Amit Dayal: Understood. Thank you for that. In the press release, you highlighted some accounts receivable issues you might have been facing in November, December, and the pandemic was sort of surging again. Have those issues been resolved and were those tied mostly to at the distributor level or were they associated with the rentals business?
Darren Jamison: Yes, no, they not. We haven’t had any issues present with the rental business. The good thing about rental business, if somebody doesn’t pay for the unit, you can pick it up. So we’re pretty good in that case. What we found is when the initial pandemic hits a lot of customers' projects stalled or even stopped. And so a lot of our distributors had stuck units that basically were going to a project where the construction effort had ceased because of the pandemic. And so they were not getting their progress payments and the cash flow was interrupted. That got better and then Omicron came and hit them again. So I think that it's something that is improving. We think the next couple quarters will continue to improve. If you look at our DSO over the last couple quarters, it's been coming down, but we're still not back to pre-pandemic levels, which is in the kind of mid-80 days on DSO. I do think that's something again that we'll see improve over the next couple quarters. We work it very hard. But obviously we want to be sensitive to our distributors' challenges and everybody is dealing with COVID. Obviously, it's different depending on where you are in the world or even the United States, but it's still creating some headwinds. But I'm hopeful that this summer we'll really get pass this and start hitting on all cylinders.
Eric Hencken: I guess I'll quickly add. In Q1 and Q2, we were roughly around 135 days DSO, and we brought that down to 119 days for the December quarter. We expect that to go down again in Q4.
Amit Dayal: Okay, okay. Thank you. Thank you for that. Just one last one from me. Darren, can you talk about sort of the opportunity in pipeline? I know the book-to-bill was down a little bit compared to the prior periods, and that's probably also because of these pandemic related issues. Has that started improving for you? And what is in the pipeline now that you have different drivers including solar and storage and the Baker Hughes partnership? Can you just give us some color on what sort of that looks like right now?
Darren Jamison: Yes, no, definitely the book-to-bill, Amit. I want to talk to, because I think normally we tout that as something that is an indicator of future quarters' revenue. This quarter we had a couple big projects, big orders that literally didn't get in because the folks at our distributorship got COVID and they came in early in January. And I think one or both of those projects have been press released in January. And so, I think, our booking through the first five months of the quarter were about 4.6 million. So we're close to equal to last quarter. So I think that gives you an idea of what last quarter should have looked like. We got several nice orders pending. Generally, I think, most parts of the world are seeing a positive outlook to this new year. As you said, adding the new product lines definitely increases our total pipeline. And so, our distributor pipeline is approximately 1.3 billion, but our direct sales pipeline is now up to 300 million, 400 million. So we're definitely adding to that top-line pipeline that should see some more growth. Baker Hughes, we're very excited about that relationship. Unfortunately, we're going over to Florence in January and that got canceled for strategic meetings with Baker Hughes, but we got about 15 projects pending. We're contemplating putting one of their LT-5, 5 megawatt machines in our rental fleet. So definitely that's a relationship we want to continue to grow and think that there's a win-win relationship going forward with Baker Hughes.
Amit Dayal: Understood. Thank you. Thank you guys. That's all I have. Thank you.
Darren Jamison: Thanks, Amit. Have a good afternoon.
Operator:  The next question is coming from Rob Brown from Lake Street Capital. Your line is live.
Rob Brown: Good afternoon.
Darren Jamison: Hi, Rob.
Rob Brown: Just on the solar and battery product line how is the demand curve you're seeing there and the market uptake and I guess some of the drivers of that product line orders?
Darren Jamison: Yes, so we saw in the quarter our first two orders, one was the  and the other one was in the Caribbean. One was battery storage only and one was battery storage and our new Global RAIS solar photovoltaic panels. So we're generating a pipeline, obviously it's a bit of a new business for us. And so we're having to one find the strategic partners, which we've now done with KORE Batteries, NRI and then Global RAIS. But more importantly we've got to train our sales folks. We've got to train our application engineers. We've got to our distributors folks. And so we're in process of doing that. We're in process of updating all of our documentation, our product brochures, our specification sheets. So it's a little bit of a curve to get up, but I think definitely the first place will go is any customer that's got a CHP installation with a microturbine to see if we can add battery storage or solar or both. And then obviously there is opportunities for battery storage and solar in multiple markets that will kind of lead with battery storage and solar and then see if we can also sell a microturbine along the way, so very, very excited about that. We got some interesting other ideas and some of ways we think we can go to market, but I think in general with 10,000 microturbine shipped worldwide, starting with existing customer base is a great place to start. But there are some very unique markets especially in the CNI market where the products we have we think have a very unique competitive fit.
Rob Brown: Okay, great, great review. And then in the rental business, you've made great progress and you're closing in on the goal, but how is that pipeline kind of compared to the goal and what's sort of the thoughts on going beyond that that target?
Darren Jamison: Yes, as we said, we got from 13 megawatts to over 17 megawatts in the quarter, which is great. We signed our biggest rental to date, which is 4 megawatts at a site in Pittsburgh, which is oil and gas site, where they're using the associated gas to run Bitcoin mining operations. That site should expand in the summer probably by at least another megawatt maybe two. We've got multiple other Bitcoin miners out there that we've got quoted. Our machines can be set up and running in different voltages and frequencies. And a lot of these Bitcoin miners are coming over from China. So that's a good fit for us. Obviously, if you can run on associated gas that you would just be flaring, that's a great cheap operation and cheap way to create that energy. So that's very exciting. We see a lot of interest in the cannabis space as well. Oil and gas continues to be a good rental market for us. We're doing a hotel down in Jamaica, which has got 27 different properties who are looking to expand there. I think the Caribbean in general is a good rental opportunity market. So we've got plenty of rentals. We're starting – everything we've done to-date has been US. We just recently got an order in Maui. We're looking at stuff down in Latin America and Colombia, some stuff in Europe and so Middle East as well. So I think as we take the rental fleet international as well as continue to penetrate these markets, we'll get well beyond 21 megawatts. Obviously, we don't want to stop at 200 megawatts we want to keep growing that business. And so we've got a Board meeting next week, and that's probably the most important topic is continued funding of that global rental fleet.
Rob Brown: Okay. Great. And just a little bit on the – back to the cost issues that you're seeing, what's sort of your exposure to price kind of expense costs on parts? And I guess where is the freight issues coming in? Is that you are sort of the freight cost? Or can you negotiate that into the new contract that takes a couple of quarters. I just wanted to get some clarity on how ….
Darren Jamison: Yes. It's a great question. So yes, freight has gone up substantially and times the shift have gone up as well, so that's leading to some higher inventory levels were able to address our lead times and bring more spare parts and our additional safety stock. We're seeing it across all types of metals from sheet metal to stainless steels, nickel, alloys. We're seeing it in wood. We're seeing it in copper. Virtually everything we look at is going in the wrong direction right now from a commodity standpoint. We've got LTAs in place with most of our major vendors, which protect us a little bit, but that's something that obviously we're going to have to address. And where we can, we're trying to bring extra vendors on, make sure we create competition. But it's something we need to work through. And I think the price increase we're putting in place May 1 on product is between 7% to 10% in most cases and then a 5% increase on service contracts. And so it's something that's going to be here for a while. I think the big issue is just making sure we can manage it and that Kirk and his commodity team can keep parts flowing at a reasonable price. The good news is, as we develop more rentals at 60% margin, we can take a little bit of rental unit costs increase and still have very nice margins. But it's definitely, if you say, what keeps you up at night right now, it would definitely be commodity, both pricing and availability and then the additional growth of our rental fleet are things we've got to figure out, manage in the next couple of quarters.
Rob Brown: Okay. Great. Thank you. I will turn it over.
Darren Jamison: Thanks Rob. Great questions.
Operator:  All right. Looks like we have no further questions in queue. I'd like to turn the floor back to Darren Jamison for closing remarks.
Darren Jamison: Thank you, operator. Amit and Rob, great question. Thank you. We covered most of the things I want to talk about in my closing remarks. I guess just most importantly, kind of a summary, what should investors be looking for in the upcoming March quarter. You should be looking for the new 30% hydrogen announcement. You should be looking for us to get to 21 megawatts on our rentals. You should hopefully see more of our battery storage and Solar PV projects getting awarded. You should hope to see some wins out of our direct sales organization and hopefully some bigger wins into bigger customers. I think Slide 15 that Eric showed today was key is just rentals, rentals, rentals. If I was a shareholder, and that would be my number one thing I'd be monitoring with Capstone is, how fast can you deploy those rentals, how fast you can get to EBITDA positive and how fast can you generate recurring revenue with high margins. And so to me, getting Capstone EBITDA positive and cash flow positive with solid margins has been our goal for years and to attain that and do it on a recurring basis is absolutely the goal, and we can't get there fast enough. So look forward to talking to everybody after the March quarter, which is our fiscal year-end and hope everybody is staying safe. Thank you.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.